Operator: Welcome to RPM International's Conference Call for the Fiscal 2016 First Quarter. Today's call is being recorded. This call is also being webcast, and can be accessed live or replayed on the RPM Web site at www.rpminc.com. Comments made on this call may include forward-looking statements based on current expectations that involve risks and uncertainties, which could cause actual results to be materially different. For more information on these risks and uncertainties, please review RPM's report filed with the SEC. During this conference call, references maybe made to non-GAAP financial measures. To assist you in understanding these non-GAAP terms, RPM has posted reconciliations to the most directly comparable GAAP financial measures on the RPM Web site. Following today's presentation, there will be a question-and-answer session. [Operator Instructions] Please note that only financial analysts will be permitted to ask questions. At this time, I will like to turn the call over to RPM's Chairman and CEO, Mr. Frank Sullivan for opening remarks. Please go ahead, sir.
Frank Sullivan: Thanks, Hilda. Good morning. Welcome to the RPM investor call for our fiscal 2016 first quarter ended August 31, 2015. On the call with me today are Rusty Gordon, RPM's Vice President and Chief Financial Officer, and Barry Slifstein, our Vice President of Investor Relations. On today's call, we will discuss our first quarter results, including some detail by Barry Slifstein, and including more information on RPM's third reportable segment called Specialty, and the comments and outlook for the balance of our 2016 fiscal year. During our first quarter, we continue to be challenged by the strength of the U.S. dollar relative to other major currencies, principally the euro, Canadian dollar, British pound, Brazilian real, and South African rand, as well as sluggish global economy outside of the U.S. Translational foreign currency reduced sales on a consolidated basis by approximately $83 million, or roughly 6.9%. And foreign exchange in total reduced EPS in the quarter by $0.08 year-over-year. The consumer segment was severely impacted by an unseasonably rainy late spring and summer, which extended into mid-July in many regions. We believe the shortfall in sales during the first quarter will be picked up in the remaining quarters of the fiscal year. And we're pleased that the economic fundamentals that drive our consumer segment remains strong. And we are seeing that halfway through our second quarter with strong performance from our consumer businesses. The Industrial segment's results were mixed during the quarter. Our U.S-based industrial companies performed well, with mid single-digit growth driven by continued growth in businesses serving U.S. commercial construction markets, offset in part by those product lines with exposure to the energy sector. Internationally, we are very pleased to see positive quarter-over-quarter growth in every region of the world in local currencies. Our industrial segment businesses in Europe were down 12.9% when translated back into U.S. dollars, but up 3.3% year-over-year in euros. Brazil continues to do very well, driven by a great management team, and sales through Viapol of other RPM product lines. Sales in Brazil translated to U.S. dollars in the quarter were down 20.8%, but up in local currencies by 15.6% in a very challenged economy; a truly extraordinary performance. We anticipate that the first half of our fiscal 2016 will experience the most significant impact of the strong U.S. dollar, especially in the industrial segment, which has our most international exposure. In the Specialty segment, most of the growth over the last year comes from the acquisition-like impact of reconsolidating the SPHC businesses, comprised mostly of U.S.-based businesses. Excluding acquisitions, the dominant share of business in this segment is fairly balanced between the U.S. and Europe, with reported sales down 11%, or relatively flat year-over-year in constant dollars. All in all, we are encouraged by the performance to our fiscal 2016 plan in most of our international businesses across Europe, and Latin America. Even though the results don't translate well into the U.S. dollars, they are performing well in local currencies in each market. And we expect better results in consumer over the remaining quarters of the fiscal year. In short, our Q1 performance is circumstantial and not directional as we are performing well in every region of the world in our industrial businesses, and we are seeing a return to strong sales and earnings growth across all of our consumer businesses. I would now like to turn the call over to Barry Slifstein to provide more detail on our first quarter results.
Barry Slifstein: Thanks, Frank, and good morning everyone. Thank you for joining us on today's call. As disclosed in the company's annual report on Form 10-K for the year ended May 31, 2015, during July 2015, RPM's Board of Directors approved the realignment of certain businesses and management structure to recognize how the company allocates resources, and analyzes the operating performance of its operating segments. During August 2015, RPM made the determination to combine the former RPM2 industrial operating segment, and the former SPHC operating segment into a single operating segment called the Specialty Products Group. These businesses are characterized by having leading positions in niche markets that typically do not compete with RPM's traditional peers, and operate in a multitude of industries, including but not limited to fluorescent pigments, fire and water damage restoration equipment, specialty OEM coatings, and edible coatings for food and pharmaceutical uses. These changes have resulted in the creation of the third reportable segment referred to as the Specialty segment. Now, I will review the results of operations for our fiscal 2016 first quarter, then cover some of August 31, 2015 balance sheet and cash flow items. I'll then turn the call over to Rusty, who will discuss the outlook for fiscal 2016. First quarter consolidated net sales of 1.24 billion increased 3.2% from last year. Organic sales increased 0.2%. Acquisition growth added an additional 9.9%, and foreign currency translation reduced sales by 6.9%. Industrial segment sales decreased 4.5% year-over-year to 663.3 million. Organic growth increased 3.7%, acquisition growth added an additional 0.6%, and foreign currency translation reduced sales by 8.8%. Consumer segment sales decreased 8% to 395.6 million, principally due to sales deferred into future quarters resulting from unfavorable weather conditions during the first half of the quarter, as well as timing of promotional orders in the prior year. Organic sales declined 5.4%, acquisition growth added 0.4%, and foreign currency translation reduced sales by 3%. Specialty segment sales increased a 130.7% to 183.6 million, from 79.6 million, principally due to the reconsolidation of SPHC effective January 1, 2015 and the Morrells acquisition by SPHC in March 2015. Organic sales increased 0.6%. Acquisition growth, SPHC, and Morrells added 141.7%, and foreign currency translation reduced sales by 11.6%. Our consolidated gross profit increased 4.8% to 533 million, from 508.4 million last year. As a percent of net sales, gross profit increased from 42.2% last year to 42.9% this year, representing a 70 basis point improvement. Contributing to the improvement was lower manufacturing costs, partially offset by unfavorable transactional foreign currency exchange. Consolidated SG&A increased 7.6% to 372.9 million, from 346.5 million last year. Nearly all of the increase was due to the reconsolidation of SPHC, and higher transactional foreign exchange expense. Consolidated earnings before interest and taxes, EBIT, decreased 1.9% to 160.6 million, from 163.7 million last year, largely driven by unfavorable translational and transactional foreign currency exchange, and poor weather during the first half of the quarter which hampered consumer segment sales. At the Industrial segment, EBIT decreased 4.4% to 84.3 million, largely attributable to the significant impact from both translational and transactional foreign currency exchange, with roughly 50% of Industrial segment sales outside the U.S. Consumer segment EBIT decreased 13.8% to 66.1 million, compared to 76.7 million last year, due primarily to poor weather conditions through the first half of the quarter, resulting in deferred shipments into future quarters. Specialty segment EBIT increased 64.7% to 28 million, principally due to the reconsolidation of SPHC. The reduction in EBIT margin reflects the overall low margin contribution from SPHC, compared to the core RMP2 industrial companies. Corporate other expenses of 17.7 million were fairly flat to last year's amount of 18.1 million. Interest expense increased from 19.4 million last year to 22.5 million this year, primarily due to higher interest due to the $450 million payment to the 524(g) Trust in December 2014, which was funded from the revolving credit and accounts receivable security facilities, part of which was ultimately replaced with a 30-year bond issued in May 2015. Investment income of 4.1 million for the quarter was slightly higher than last's year 3.8 million. Income taxes, our first quarter income tax rate of 29.4% was essentially flat to last year. Net income increased 0.07% to 99.8 million from 99.1 million last year. Diluted EPS of $0.74 per share was 1.4% above last year's EPS of $0.73 per share. The combination of translational and transactional foreign exchange reduced EPS by $0.08 per share during the quarter. And now a quick look at cash flows and balance sheet. Cash provided by operating activities was 6.6 million for the quarter versus a use of cash of 125.2 million for the same period last year. The improvement is mainly due to the change in working capital caused by faster collections and the timing of the disbursements. Depreciation and amortization expense was 27.9 million, compared to 23.3 million last year, driven predominantly by the reconsolidation of SPHC and the resulting higher depreciation and the amortization expenses. CapEx of 12 million this year was flat to last year. Our accounts receivable DSO was 64 days this year compared to 67 days last year. Days of inventory increased to 91 days this year compared to 81 days last year, principally due to reduced sales in the consumer segment as a result of poor weather conditions during the quarter. Finally, a few comments on our capital structure and overall liquidity; as of August 31, 2015, total debt was 1.73 billion compared to last year at 1.48 billion. The increase was principally due to the $450 million trust payment made in December 2014, using funds from our revolving credit facility, part of which was replaced with a 30-year bond issuance in May 2015, with an interest rate of 5.25%. During the fourth quarter of fiscal '15, the company retired a $150 million notes, originally said to mature in November 2015, principally with Canadian and European cash. On May 26, 2015, S&P published a ratings upgrade on RPM from BBB minus to BBB. Our net debt to capital ratio was 54.7% at August 31, 2015 compared to 46.6% last year. Our long-term liquidity at August 31, 2015 was 882 million with 169 million in cash and 713 million available through a bank revolver and AR securitization facilities. During the quarter, the company repurchased 300,000 shares of its stock in the open market at an average price of 42.67 per share for a total cost of 12.8 million. With that, I'll turn the call over to Rusty.
Rusty Gordon: Thank you, Barry. I would like to briefly cover our updated full year outlook for fiscal 2016. Even though our consumer segment was off to a very slow start, largely driven by unfavorable weather conditions, we expect the shortfall to be mostly recouped over the next three quarters of this fiscal year. In addition, we believe that economic fundamentals that drive this segment sale continue to be positive. Therefore, consumer segment sales for the balance of this fiscal year are expected to grow by 5% to 7%, compared to the same period in the prior year. In the Industrial segment, in local currencies, we expect growth in Latin America to continue in the upper single-digit range, and in Europe to continue in the low to mid single-digit range. In the U.S., we also expect solid mid single-digit growth, especially for those businesses serving the commercial construction markets, partially offset by the impact of the slowdown in the energy sector. The Industrial segment represents RPM's largest international exposure, and we expect a large portion of strong organic growth in local currency will continue to be offset by the negative impact of foreign currency translation. As a result, sales for the full fiscal year in the Industrial segment will show slightly positive growth after being translated into U.S. dollars. In the Specialty segment, most of the year-over-year growth will be attributable to two factors. Number one, the reconsolidation of SPHC with SPHC included in the full year fiscal 2016 results compared to only the last five months of fiscal 2015. And number two, the acquisition of Morrells this past March. The Core Specialty segment excluding SPHC and Morrells is expected to generate low single-digit growth in local currency, all of which is expected to be offset by foreign currency translation. Of course, in addition to the core specialty growth, or core specialty business, over the remainder of the year, RPM and the Specialty segment will benefit from the additional months of SPHC results since it was reconsolidated on January 1, 2015, and the Morrells' acquisition, which was added in March of 2015. When tied together on a consolidated basis, we expect to grow RPM sales by 7% to 8% for the remainder of this fiscal year. As mentioned at year end, both translational and transactional foreign exchange will have a negative impact on results for the full year, but will be particularly unfavorable during the first half. Based on these factors, and assuming no further currency devaluation in the euro, Canadian dollar, and Brazilian real, we are reducing our full year EPS guidance to $2.50 per share. This concludes our prepared remarks, and we are now pleased to answer your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We have a question from John McNulty from Credit Suisse.
A - Frank Sullivan: Good morning, John.
John McNulty: Good morning. Thanks for taking my question. So a couple of questions, first one on the margins, this is the first time we have actually seen margin weakness so far in actually a number of quarters certainly for the seasonally strong ones as well. And I guess I am wondering just given that it seemed like raw material should be starting to really -- the benefit of them should be really starting to flow through, I guess. What are the dynamics behind that? Is it just some of the weather-related issues and the volume impact around that, or, I guess how much of it would be tied to some of the FX-related issues on the transaction side, so if you can quantify or bucket some of the hits, that would be helpful.
Frank Sullivan: Sure, John. And I'll address that by segment. And I think the biggest challenge in the consumer segment was lack of leverage. And we still have strong EBIT margins there as you can see in the results, but lack of leverage certainly negatively impacted EBIT margins and gross margins there. We would expect to see that change in each of the succeeding quarters. In the Specialty segment, the biggest issue from a margin perspective, because we are seeing good margin performance at the individual businesses, is the combination of the SPHC businesses which have more of the traditional RPM margin profile with the core RPM2 industrial businesses that were formerly reported as part of our Industrial segment, which are really those unique special businesses like fluorescent color food additives and coatings. Different product lines like that that have significantly higher margins than traditional RPM. So while you're seeing a quarter-over-quarter deterioration in margins, that's a 100% mix, and those businesses are actually doing pretty well. Then lastly, is in Industrial, and the biggest challenge there, in terms of margins, is FX, particularly as it relates to transactional impact, and material cost and gross margins.
John McNulty: Okay, great. That's very helpful. And then a question on the full year guidance, so your sales numbers came down a reasonable amount in the quarter and the guide obviously looked -- it's impacted there as well. And yet you're really only pulling down the numbers about $0.05, which means you have either got to see some significant margin improvement as we go through the rest of the year, or there are some other things that may be at work, may be below the line. So can you help us to understand why the sales cut is as big as it is, and it's not really impacting the bottom line all that much?
Frank Sullivan: Sure. I'll answer that in really two ways. Number one, in consumer, we talked about revenue growth for the balance of the year in the 5% to 7% range. Halfway through our second quarter, we are at the top end of that guidance, and are doing quite well. Secondly, across all of our consumer product lines and businesses, this spring had a number of line reviews, and we were the beneficiary in almost every instance. A little bit of which will hit this fall, and a lot of which will begin to rollout in new programs at major customers in February and March. So we remain very bullish about that business segment. And contrary to the first quarter performance, that business segment is doing great. As it relates to I think the rest of our businesses, it's really a function of solid growth. So we filed with our earnings release our investor presentation. It's also available on our Web site, and if you look at Slides 6 and 7, I think you'll also see why, despite disappointing pennies per share results in the quarter, we are pretty bullish, and we tend to be on plan across most of our businesses. Those two slides highlight -- the first one highlights our consolidated growth of 3% sales growth in the quarter, and highlights by region what that growth looks like translated into U.S. dollars. So for instance, in Europe we are down 6% translated into U.S. dollars, and Latin and South America we are down 14%. When you look at those in local currencies and constant dollars, we are actually up 10% across Europe on a consolidated basis, and we are up 15% in Latin and South America. In fact, we are up double-digit sales in every region of the world, except North America which is up 9%. And even that has been mitigated North America by the strength of the dollar versus the Canadian. So on a core basis, our industrial businesses are on our operating plan, and competing and winning in their markets. And we think that that will be more reflective of our results to your question in the second half of the year. Assuming there isn't some additional leg of dramatic increase in the dollar versus the currencies that we talked about, versus what's already happened in the last year.
John McNulty: Great, thanks very much for the color.
Frank Sullivan: Thank you.
Operator: We have a question from Vincent Andrews from Morgan Stanley.
Frank Sullivan: Good morning.
Matt Gingrich: Hey, good morning. This is Matt Gingrich on for Vincent. I was hoping to clarify the drivers underlying the performances of consumer in the quarter. Specifically, your guidance was initiated on July 27th, but then you attributed the weakness to poor weather in June and July. And I was wondering if there's any other factors that contributed to a result that was different than what you originally expected in the guidance range.
Frank Sullivan: There's really two issues, and I think Barry commented on them both. One was poor weather, and we had a strong sell-in season in the spring, and then sat through the wettest, rainiest, coldest June and early part of July that anybody has seen in a long time. So consumer takeaway was very poor, particularly for small project paints that are used in exterior applications, whether it's on decks, exterior metal, things like that. The second was a major sell-in program with a significant customer in last year's first quarter. That was not repeated this year. Those are the two factors that drove the lower results in our consumer segment.
Matt Gingrich: Okay. And then, in the past you've outlined an expectation for improvement to SG&A as a percentage of sales for your Industrial segment, along the magnitude of a couple 100 basis points. And I'm just wondering how the introduction of the Specialty segment impacts that outlook going forward?
Frank Sullivan: So that is a great question, and something that we look forward to reporting on in the coming years. When you look at our three segments, you will see consumer segment with EBIT margins in the 16% range. We continue to be focused on new product introductions, driving sales, being a great partner to our core North American customers. In our Specialty segment, which is now a third reportable segment, you will see EBIT margins with the combination of the businesses that make that up in the 15% range. And we think there's a little room over the next few years in SG&A to improve that. And it really highlights the impact in our now third Industrial segment, which has EBIT margins in the first quarter of 12.7%, and our highest investment in SG&A. And it also isolates the area where we have I think the biggest opportunity to bring SG&A down over the next couple of years and improve the EBIT margins in our industrial segment as you see reported in this first quarter.
Matt Gingrich: Would you see a similar improvement across Specialty as well, or just specifically…
Frank Sullivan: I think to a lesser extent it's true in Specialty, and it's less true in Consumer.
Matt Gingrich: Okay. Thanks, guys.
Operator: We have a question from Rosemarie Morbelli from Gabelli & Company.
Frank Sullivan: Hello, Rosemarie.
Rosemarie Morbelli: Good morning. Can you hear me?
Frank Sullivan: Yes.
Rosemarie Morbelli: Okay. Could you give us a feel for the amount of business you do on the energy side, and how much of a hit it had? What would have been the results, excluding energy?
Frank Sullivan: I think on a consolidated basis it's in the $200 million range across a number of different product lines, corrosion control coatings, some FRP products that have gone into fracking, tank lining products, pipe lining coatings. And so that is under significant pressure. I think Barry commented that on his prepared remarks. And so that is an area that's troubled. I think it's down, and I don't see it coming back for a period of time. But again, I think you have to put that in perspective. On an annualized basis, it's probably 200 million plus, maybe a little bit more of revenues on RPM's total revenue base in a $4.6 billion range.
Rosemarie Morbelli: And how much was it down versus last year, Frank? And what was the impact on the EBIT line, can you share?
Frank Sullivan: I could tell you that, from a revenue perspective, we were certainly off double-digits, but we have not, and don't provide margin or profit information by product line.
Rosemarie Morbelli: And so, now looking at a brighter side of the business, can we talk about what is happening in Brazil? I mean you are consolidating a couple of acquisitions, are there any additional acquisition in that particular business, or is it just moving into the region some of the product lines that you were not previously selling?
Frank Sullivan: It's both. As I mentioned, despite the headlines in Brazil, it seems to be a company in recession, and there's a number of challenges there. On a core real basis, our businesses were up 15% in Latin America, and I think closer to 20% in Brazil. And we did the acquisition of Betumat, which was a water proofing and roofing products company in the middle of June last year. So we had a little bit of acquisition impact in the quarter, but it won't have much, if any, impact for the year. And then the balance is good management, good growth in the core Viapol product lines. And as we've communicated over the last year or so, year-and-a-half, we have invested in concrete admixture capacity. We have invested in water proofing capacity. We have invested in polymer flooring capacity. So, Viapol is becoming a Brazilian entity by which we will be selling not only Viapol product lines, but Euclid product lines, Flowcrete flooring product lines. We are in the beginning stages of investing in corrosion control coatings for the Brazilian market in Petrobras that will be sold under the Carboline brands. So that investing is having a positive payoff in terms of some of the admixture in flooring revenues. And I would expect we'll continue to have a positive payoff as we bring new, other RPM product lines online, and start selling them. We are at the beginning stages of doing the same thing in Malaysia around a Flowcrete plant, where we are investing in Euclid chemical products, as well as Tremco sealant products for production in Malaysia, which will replace what currently is a long supply chain, not very cost competitive production of those products from North America.
Rosemarie Morbelli: That was very helpful, thank you. And I was just wondering quickly, if I look at last year's reported numbers, EPS were $0.76 not $0.73. So -- and I thought that SPHC was accreted by $0.05 last year. So is that differential kind of a first quarter dilution from SBHC or what else can it be?
Frank Sullivan: So I'll let Rusty or Barry talked about the quarter, but SPHC was reconsolidated into RPM, as of January 1, 2015. So they had zero impact on the first quarter last year.
Barry Slifstein: Hi, Rosemarie, it's Barry. Yes, our reported results were $0.73 last year. And during the call, we called out some SPHC-related expenses, SEC investigation expenses, and a couple of other minor expenses that some folks on the outside chose to make some adjustments, but our reported was $0.73.
Rosemarie Morbelli: Okay, thanks. I appreciate the help.
Operator: The next question comes from Patrick Zellner from Piper Jaffray.
Frank Sullivan: Good morning.
Patrick Zellner: Good morning, and thanks for taking my questions. So first question, could you break down the end market pockets where the industrial segment is seeing strength? Is it admixtures for U.S. nonresidential construction, roofing, or flooring, is there any way you can break that down a bit?
Frank Sullivan: Sure. In the Industrial segment, which is now one of three, our construction-related products are doing quite well. It's concrete admixtures, it's waterproofing, it's sealants. And those are doing well in North America, principally the U.S., not so much in Canada, but those product lines are doing quite well in Latin America and South America. And they're also doing quite well on a euro basis in Europe. In local currency, our construction-related product lines are experiencing nice, solid growth in European marketplace. We're also seeing strong growth, percentage wise, when you look at our investor deck in Asia Pacific, and Middle East, and Africa, but they're on very small basis. So I think the percentage improvements are impressive, but it's relatively small basis. And then we're seeing good growth in a lot of our other industrial maintenance coatings categories, with the exception of those that serve the various aspects of oil and gas. Lastly our roofing business which, for those that have owned RPM for a long time, had some challenges a few years ago is in great shape. And they are growing their top line and bottom line very impressively in double-digit ranges.
Patrick Zellner: Great, thank you. That's helpful. My next question is on AlphaGuard. Is the first quarter cadence reflecting the goal of doubling sales, in 2016?
Frank Sullivan: So, AlphaGuard is a new formulate [ph] roof coating that we had commented on I believe at year end. It's part of our Tremco Roofing business. And that business had significant growth last year, and that significant growth is continuing. In fact, if you look at our investor deck I think it's in there. We talk about connections creating value. And Slide 14 really talks about an interesting connection between Legend Brands, which is a specialty segment business in Tremco Roofing. And our Legend Brands business, which is in equipment for dehumidification, has produced a patented roof cleaning system. It uses water, all of which is recaptured. It takes a traditional roof cleaning, which is two guys and a bucket, and a lot of detergent, and a lot of wasted water, and it improves the speed by about two thirds, recaptures all the water. And that, in combination with the AlphaGuard, is leading to significant sales in terms of cleaning and recoating a number of old, mostly single-ply roofs that are coming off warranty.
Patrick Zellner: Great, thank you.
Frank Sullivan: Thank you.
Operator: We have a question from Christopher Perrella from Bloomberg Intelligence.
Christopher Perrella: Good morning. Thank you for all the color on the overseas performance. Just a question though on consumer, with your expectations of deferred sales out of the first quarter, how do you see that layering in over the next three quarters? Is that coming mostly in the spring? Are you going to get some of the sales in the second quarter here?
Frank Sullivan: We have not provided specific quarterly guidance for probably a decade now, and so I don't know that we would do that, other than say that the -- our expectation for consumer growth over the remaining nine months of the fiscal year is in the 5% to 7% range. And as I commented earlier, we are at least half way through the second quarter, performing at the top end of that range. And I would expect us to deliver consistently there. The odd one for us is the third quarter, because it's a seasonal low. And so, depending on whether we have big sales in February or March, you can see again big percentage gains, but on a relatively small base. But we will make up, we think, most, if not all, of the lost revenues in the first quarter. Some of it will continue to be weather-related, relative to winter weather, and what that does to our third quarter.
Christopher Perrella: All right, thank you. And then on the inventory build in the first quarter, here, up 52 million. What is driving that?
Frank Sullivan: That, again as Barry commented on, I think the acceleration of receivables collection, and the inventory build, just a little bit out of line, is entirely related to the shortfall in revenues in our consumer segment. We had planned for, and worked with our major customers on a big selling season, had a lot of good programs, and saw consumer takeaway fall pretty significantly in a number of our product categories, in June and July. And when that happens, you end up with collecting receivables, and more inventory you want. That is being corrected as we speak by a strong takeaway.
Christopher Perrella: All right. And then the -- with the launch of the new product launches or the new commercial programs in the spring coming up, when does -- seasonally when do you build ahead of that, does that come in the third quarter, or do you actually…
Frank Sullivan: Well, it starts to come in the third quarter, and again, as I mentioned a little it can be sometimes weather-related in terms of major customers and their perception of cold long winters, but typically it starts in February, which is the last month of our third quarter, and builds into typically a strong fourth quarter for us, which is March, April, and May. And that's what we experienced this last year just to see a weather-related slowdown and consumer takeaway which is now corrected.
Christopher Perrella: All right, thank you very much.
Frank Sullivan: Thank you.
Operator: We have a question from Ghansham Panjabi from Robert W. Baird.
Ghansham Panjabi: Good morning guys.
Frank Sullivan: Good morning.
Ghansham Panjabi: Hey, just given all the market concerns related to industrial-facing end markets in general, Frank, can you just give us a sense as to how your businesses in that segment performed during the first quarter on a monthly basis for you? Was there any meaningful deviation in the year-over-year growth rates in any particular month during the quarter?
Frank Sullivan: No, I think the two headlines there are strong results in most of our product lines, except those that serve the oil and gas area, which again is non-inconsequential couple of hundred million dollars. And very strong performance particularly in international regions of the world offset by very difficult FX translation gains. But the underlying performance on a local currency basis across our industrial businesses almost everywhere in the world was pretty solid.
Ghansham Panjabi: And then on that international comment, and just your results in general, you seemed to be much more optimistic than the rest of your peer group which are noticeably more cautions on most of these regions that you're outperforming on; how should we think about why RPM is different and also historically the industrial businesses sort of come in at the early cycle businesses, coincident, or somewhat later cycle?
Frank Sullivan: It depends. Some of them are industrial capital spending driven, such as oil and gas, tech industry for flooring, things like that. A lot of it is also construction market whether it's light construction, multi-residential construction, hospitality, those types of things. I think the things that are driving our performance globally are a few. Number one, something that we initiated a few years ago, and we hope to do more of, is what we call across RPM connections creating value. I think you're seeing it in its most concrete form in Brazil, where for the first time we have a business base that's being leveraged across multiple RPM products. We do that within our groups and in some cases by segment to a lesser extent, but in this case Viapol is serving as an exceptional base for business growth for multiple RPM product lines, and that's expanding. We are starting to do the same thing in Asia, which has been an area -- it's been the one region of the world that's been frustrating for us in terms of our lack of success in acquisition growth. And so, you're going to see more leveraging of existing facilities with other RPM products and the related manufacturing capabilities. And then Europe, lastly Europe's a little circumstantial. We are coming off very difficult period of time, and we're just facing easier accounts.
Ghansham Panjabi: Okay. And then just switching to consumer on -- in the commentary on the acceleration and growth rate that's expected through the fiscal year, are there any new products in particular that you think will help drive the growth rate for 2016?
Frank Sullivan: Well, I think the things that will drive our performance in the second half in particular are related to some of the market share gains we expect, the number of major customers. We've got some pick-ups at major customers that will be shipping in February-March, and small project paints, and which paints and finishes. We have launched a new program at some of our major home centers called Spray Smart, which is a patented spray application for line striping and utility work. Rock Solid is a new foreign product line. It's more high-performing than the existing ones. That's being launched chain-wide at a number of our major retailers. But at this stage of the year, the impact of that will occur in the last four or five months in the year. And so, there is a lot of programs that are committed to, and in place that give us comfort relative to our expectations of solid growth in consumer, and I hope that maybe we will pick up some of the shortfall in the first quarter.
Ghansham Panjabi: And then, just one final one from me on the raw material side; I am sorry if I missed this, but are you assuming any sort of incremental benefit as we progress through the fiscal year on that? And actually what's occurring in raw materials as it relates to your specific cost of goods basket? Thanks so much.
Frank Sullivan: Sure. So raw materials are a little bit of a mixed bag. We are seeing some improvement in a number of categories. And on the flipside, we are seeing some significant increases as a result of transactional FX, where we produce products in U.S. and sell them in Canada, or in Europe, or in some developed regions of the world, where raw materials are purchased from euro or U.S. sources in dollars or euros and are sold in local currencies such as real or South African rand. And so, it's a mixed bag for us. We had on a consolidated basis I think about 70 basis points of improvement across RPM. I would expect us to have more improvement in the coming quarters through better leverage and higher growth, particularly in consumer when we start demonstrating better growth there, which we are doing, as well as some operating efficiency in relationship to continuing strong sales.
Ghansham Panjabi: Perfect. Thanks so much.
Frank Sullivan: Thank you.
Operator: We have a question from Frank Mitsch from Wells Fargo Securities.
Frank Sullivan: Good morning.
Rory Blake: Hi, this is actually Rory Blake sitting in for Frank Mitsch. Thanks for taking my question. Apologies if you have addressed this but most of it has been answered by this point, have you guys have any updated stance on the M&A environment what you are seeing, and how aggressive you guys may be over the next few quarters?
Frank Sullivan: I can tell you that -- I guess two things on M&A, our pipeline of small and medium-sized transaction continues to be pretty good. There are a couple of larger transactions in our space. One of which was publicly announced the other day. And at those price levels we would rather buy RMP stock than overpay for slow growing businesses, and I think we demonstrated that in the quarter.
Rory Blake: All right. Thank you. I appreciate it.
Operator: We have a question from David Stratton from Great Lakes Review.
David Stratton: Hi, thanks for taking my call. And I don't know if you touched on this yet, but in the previous quarter you referenced a 7% -- I am sorry, $0.07 impact EPS due to FX, and you said that you are already at $0.08. Is there any revision that you would like to touch on?
Frank Sullivan: Well, I think that's in part one of the reasons why we reduced guidance. I think there is a belief that we can make up some, if not most of the shortfall in consumer over the balance of the year, but we got whacked pretty good in foreign currency. It was not necessarily the Euro which is essentially where we thought it would be, but the Brazilian real, the South African rand, for a period of time the Canadian dollar, the Australian dollar. So there is a lot of off currencies that still drives, let's say, a $100 million worth of revenue here and there that drops dramatically. I think we are comfortable with the balance of the year given where currency rates are today. If the dollar has got another 15% rise versus all the other currencies in the world, we will be in the same boat as everybody else, and we will communicate that at the time.
David Stratton: All right, thank you. And then also I think a couple of quarters ago, you mentioned your first shipments of NeverWet OEM, and I was just curious how that went, and how those products are being received? Thanks.
Frank Sullivan: Sure. We have our first shipments of NeverWet OEM, and related to outdoor fabrics, and they are going very well. We continue to struggle with some opportunities in the Chinese market relative to registration. Some requirements of which are -- show us your formula and we will register your products to be blunt about it. And so, we are little bit stymie there and we are continuing to work on that, but our first orders are out and they are with a outdoor fabric company, and it's growing and it's going along.
David Stratton: Thank you.
A - Frank Sullivan: Thank you.
Operator: We have a question from Kevin Hocevar from Northcoast Research.
A - Frank Sullivan: Good morning, Kevin.
Kevin Hocevar: Hey, good morning everybody. I hope the -- you mentioned the expectation of the deferred spending in the Consumer segment kind of that being picked up in the balance of the year. How much of the 5% to 7% sales growth is dependent upon kind of those projects that were delayed being picked up in the balance of the year?
A - Frank Sullivan: It's hard to say, again, because of the seasonal nature of lot of our products. So I think we would anticipate some strong performance and maybe some stronger performance than we originally planned in the second quarter, and we have reasons to feel confident about the spring selling season relative to some new commitments we have to major customers. Third quarter, who knows? That's a function part of weather. It is the seasonal low. And so, but I think in general we are pretty comfortable at least for the periods in which we tend to have good consumer takeaway, including the second quarter that we are in now.
Kevin Hocevar: Okay, great. And then, maybe -- no update on Kirker [ph] or Synta so far on the call, and that's probably a good thing, but just wondering how those businesses are doing compared to kind of how it was performing last year?
A - Frank Sullivan: Sure. Some of the -- the year-over-year challenges in the first quarter relative to load-ins that weren't repeated related to Synta, and so that business is now stabilized relative to some of the challenges last year. And the carbo business is going well. We had at this point in year last year after two booming years, and the business is growing well. And we would expect to see the benefit of their investment in some of their packaging capability that we had been working on last year show up in our results in the second half of the year.
Kevin Hocevar: Okay, great. Thank you very much.
A - Frank Sullivan: Thank you.
Operator: We have a question from Arun Viswanathan from RBC Capital Markets.
A - Frank Sullivan: Good morning.
Arun Viswanathan: Good morning. Thanks for taking my question. You guys talked a lot about mid single-digit growth in North America and strong growth overseas, maybe you can just help me understand the pricing environment as well as it relates to cost coming down and in several markets. How are you able to raise prices in Brazil if that's part of the plan? And then similarly in North America, have you seen any increased competition, especially in the consumer segment?
A - Frank Sullivan: Sure. In North American consumer, there is little or no price -- with a possible exception on certain product lines up into Canada, and that relates to price increases in other places. We and other people in our industry and a lot of industries are trying to figure out a pricing element of what you do with U.S-based raw material and raw material costs that are sold in a foreign currency to establish price where you have got a real significant hit on your gross margin because of that transactional FX mismatch. And so, there is actually some price increase in those circumstances. And then in places like various markets in Latin America, you're looking at mid single-digits to low double-digits inflation. I would guess that on par I mentioned, and you can see in our investor deck, that on a consolidated basis by region, South and Latin America is up 15% [ph], it's best we can tell across all our business. Average price down there benefits about 5% or 6%.
Arun Viswanathan: Okay, great. That's helpful. So just to be quicker then with -- when you say no pricing in North America consumer, are you implying that you are at least holding on to price even in a declining raw material environment?
A - Frank Sullivan: Sure. In most product categories, we are holding on to price. That's also true in Europe. There is little or no inflation across any of our U.S. businesses and no pricing action, same as true in Europe, with the exception of how we are trying to deal with the transactional FX problem. Latin America has got some inflation and we are getting priced.
Arun Viswanathan: Okay. And then, just if I may, you started a little bit more optimistic on commercial construction, outside of any new initiatives, maybe you can just talk about the market environment and how it's potentially more favorable than residential? Thanks.
Frank Sullivan: Sure. We are seeing a good sell-through on major projects, whether it's sealants, construction chemicals; there are certain regions in the world, and even certain regions in the U.S., where concrete has got some waiting times to it. Different product lines, like our patented macro and micro fibers are doing -- we are selling everything we can make. And so, the constructions markets, multi-family housing, hospitality, universities, it's all going well. Tremco roofing is not involved in new construction, but we have had new leadership there. And this year, they are hitting pretty much in all cylinders, they have got some products, they are marrying it up with some Legend Brands cleaning technology, and they are fortunately back at being focused on the marketplace, and they are competing and winning. And so, that's I think a good assessment of what we are seeing in marketplace from a construction-related market.
Arun Viswanathan: Great, thank you.
Operator: We have no further questions at this time. Do you have any final remarks?
Frank Sullivan: Thank you. Thank you for your participation on our call today. In a world of decelerating global growth and an unusually strong U.S. dollar, we are extremely proud of the strong performance generated around the globe by the entrepreneurial businesses that make up RPM. We would like to thank our more than 12,000 employees around the world for their continued efforts in growing their businesses, and very much want to thank our shareholders for your support. And we look forward to reporting growing sales and growing earnings beyond this first quarter. And I just like to reemphasize that what we have experienced is circumstantial, and hopefully you got a sense directionally that we are bullish about the rest of the year. Thank you for your participation on our call today, and have a great day.